Operator: Good day, ladies and gentlemen, and welcome to the Churchill Downs Incorporated 2025 Second Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Sam Ullrich, Vice President, Investor Relations.
Sam Ullrich: Thank you, Andrew. Good morning, and welcome to our second quarter 2025 earnings conference call. After the company's prepared remarks, we will open the call for your questions. The company's 2025 second quarter business results were released yesterday afternoon. A copy of this release announcing results and other financial and statistical information about the period to be presented in this conference call, including information required by Regulation G, is available at the section of the company's website titled News, located at churchilldownsincorporated.com as well as in the website's Investors section. Before we get started, I would like to remind you that some of the statements that we make today may include forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC, specifically the most recent reports on Form 10-Q and Form 10-K. Any forward-looking statements that we make are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in yesterday's earnings press release. The press release and Form 10-Q are available on our website at churchilldownsincorporated.com. And now I'll turn the call over to our Chief Executive Officer, Mr. Bill Carstanjen.
William C. Carstanjen: Thanks, Sam. Good morning, everyone. With me today are several members of our team, including Bill Mudd, our President and Chief Operating Officer; Marcia Dall, our Chief Financial Officer; and Brad Blackwell, our General Counsel. I will share an update on growth plans for our company, including with respect to the Kentucky Derby and our HRM businesses. And then Marcia will provide insight into our financial results as well as an update on our capital management strategy. After she finishes, we will take your questions. First, regarding our second quarter results. We delivered all-time record net revenue of $934 million and all-time record adjusted EBITDA of $451 million. This is the fifth consecutive second quarter that we have set records for net revenue and adjusted EBITDA. Now let's talk about our growth plans for the company, both near term and long term. First, regarding our plans to grow Derby Week and Churchill Downs Racetrack. Over the last decade, we have expanded the Kentucky Derby into a week-long celebration. In 2024, we delivered 20% growth, $30 million of incremental adjusted EBITDA in 1 year. Given 2024 was our 150th running of the Derby, it proved to be a strong comparison for us to beat this year, particularly given the weather we then experienced on Derby Day. And yet we achieved nearly the same level of adjusted EBITDA in 2025 for Churchill Downs Racetrack as we did in 2024. We expect to show meaningful growth with the Derby in 2026 and beyond based primarily on 5 catalysts. The first is ticketing revenue driven by unique premium experiences. Derby Week begins with opening night on the Saturday before the Kentucky Derby. We then have 3 days of racing and events on Tuesday, Wednesday and Thursday, each separately themed and promoted before culminating with the Kentucky Oaks on Friday and the Kentucky Derby on the first Saturday of May. This year, we had over 370,000 people attend Derby Week. This is comparable to hosting 5 Super Bowls over the course of 1 week. Shaping the Kentucky Derby experience to be a week of spectacular racing and events gives us a range of different price points over the various days to attract, develop and segment our customers with the finale, the Kentucky Derby itself, where we have proven our ability to design and segment customer experiences at an entirely different level. The demand for the Kentucky Derby and for Derby Week tickets is growing. We will continue to deliver special customer experiences while selectively and thoughtfully pricing them based on rising customer demand, especially for our premium offerings. We expect that this approach will continue to generate meaningful adjusted EBITDA growth for Derby Week going forward. The second driver of long-term growth for Derby Week is our broadcast rights. We have had a long-standing successful relationship with NBC. This year, that partnership delivered record-breaking results. Average viewership for the broadcast reached nearly 18 million, a 6% increase over 2024 and peak viewership climbed to almost 22 million people, up 8% from last year's record. These are the highest Derby viewership numbers we've seen in decades, highlighting not only the strength of our media partnership, but also the continued growth in the cultural relevance and reach of the event. We also had over 285 million social media impressions during Derby Week, a 67% increase from 2024. The interest in Derby Week has simply never been higher. In April of last year, we negotiated a new 7-year contract with NBC that begins next year with the 152nd Derby. This will provide a $10 million increase in adjusted EBITDA for 2026. We were thrilled to announce that NBC will, for the first time, broadcast the Kentucky Oaks race during prime time on national television in 2026. The race will be run during the 8:00 to 9:00 hour on Friday night, May 1. Previously, the race had been run between 5: 00 p.m. and 6:00 p.m. and [ telephized ] on an affiliated cable network with more limited distribution and viewership. We believe the move to prime time coverage on NBC will serve as a catalyst for increased viewership and wagering. This enhanced visibility also strengthens the event's appeal to current and prospective sponsors. Positioning the Oaks in prime time also creates a compelling lead-in to the Kentucky Derby, further amplifying awareness, engagement and wagering around our flagship event. The third driver of long-term growth is wagering. This year, we once again set all-time records for wagering on the Derby race, the full Derby Day program and Derby Week as a whole. Wagering on the Derby race was up 11% over last year's all-time high. Derby Day wagering increased 9% over the previous record and wagering for Derby Week rose 6% above last year's benchmark. By continuing to attract the best horses from around the world and benefiting from the Derby's expanding cultural relevance, we are seeing consistent growth in wagering across the week. This also helps our TwinSpires Horse Racing business to attract both serious as well as casual betters. TwinSpires Horse Racing set records this year for wagering, new registrations and active players during Derby Week. Our partnerships with FanDuel and DraftKings also set new Derby Week wagering records. We intend to continue building on these positive trends. The fourth driver of Derby Week growth is sponsorship and licensing. Sponsorships of the Derby grew in 2025, and we expect it will continue to grow as we expand our national and global reach through our on-site attendance, television and online audiences, social media reach and other growth initiatives. And finally, the fifth driver is selective renovations and expansions through capital investment. Over the last decade, we have made a series of strategic capital investments at Churchill Downs Racetrack aimed at elevating the guest experience during Derby Week and broadening our appeal to new audiences. These investments have and will deliver best-in-class returns for our investors. We successfully completed the Starting Gate Pavilion and Courtyard project on time and on budget for this year's Derby. Feedback from our guests in these newly remodeled areas has been overwhelmingly positive with many noting the significant elevated experiences. We are confident this project will generate strong returns for our shareholders as our customers experience and then spread the word about the improvements we've made to this section of our venue. We are making excellent progress on the renovations of 2 of our most prestigious and exclusive areas, the Finish Line Suites and The Mansion. We expect both previously announced projects to be completed on time and on budget for Derby Week 2026. We are also deep into planning for our next project, which will be focused on the area between the First Turn building and The Skye Terrace. This is an exciting undertaking for us, and we will have more to share with you on our next earnings call, so stay tuned. Strategic investments will remain a key part of our long-term strategy for the Kentucky Derby as we seek to constantly improve our guest experience. In summary, we anticipate that we will generate step function growth for Derby Week in 2026 based on growth in ticket revenue from pricing and from the strategic investments we have made as well as from the new NBC contract, increased wagering and growth in sponsorships and licensing. Churchill Downs Racetrack and the Kentucky Derby remain the crown jewel in our portfolio, and we're excited about the strong foundation these growth catalysts provide for a vibrant and successful future. Next, turning to our HRM progress. First in Virginia. As expected, we have seen continued progress during the second quarter from The Rose. It's really encouraging because we are still in the early innings. HRM facilities in new markets like Northern Virginia take time to attract, develop and retain customers. We saw meaningful growth in The Rose Gaming revenues each month during the quarter when normalized for calendar differences, and we are continuing to build our customer database. In Central Virginia, we are on schedule and on budget with our growth project at the Richmond HRM venue. We expanded our gaming floor in May of this year and expect to complete the remaining phase in just a few weeks. We continue to make great progress in building the Roseshire Gaming Parlor, in Henrico County. We are excited for the planned opening of this upscale entertainment venue in October of this year, ahead of schedule and on budget. In Kentucky, we are progressing well on the Marshall Yards HRM facility in Calvert City. This will be an important addition to our portfolio of entertainment properties in the Commonwealth. We are planning to open this venue during the first quarter of 2026 on budget and on time. In New Hampshire, we were thrilled to announce last week the execution of definitive transaction documents to acquire 90% of the Casino Salem project located in the mall at Rockingham Park in Salem, New Hampshire, close to the Massachusetts border at Exit 2 on Interstate 93. We intend to develop a state-of-the-art gaming and entertainment destination to draw patrons to Salem from across the significant New England market and to support charitable organizations throughout New Hampshire. Currently, there is a temporary facility operating 100 HRMs and 13 table games. We are targeting to close the transaction in the third quarter, and then we'll share more details on our future development plans. In the near term, we anticipate continuing to operate our Chasers Poker Room in Salem, and we have retained the rights to the associated HRM license. We will evaluate and pursue viable alternative uses for the second HRM license, which will potentially be an exciting additional opportunity. Turning to Exacta. Our Exacta business has grown through the expansion of our HRM operations in Kentucky and Virginia as well as through our third-party relationships in Kentucky, New Hampshire and Wyoming. For our HRM operations, the Exacta technology enables us to better optimize our gaming floor and reduce the technology fees charged to our venues. For our third-party relationships, the Exacta technology enables state-of-the-art HRMs with a high level of service from our team to support their ongoing expansion and growth. We will grow our Exacta business in New Hampshire as part of our Salem casino development. Exacta technology is already supporting the temporary facility. Our technology will also be utilized in a new third-party facility in Wichita, Kansas, which is projected to open later this year or early next year. We are excited to support the expansion of HRMs in this new market. We continue to seek the right to implement HRM-based electronic table games. We have developed a new HRM roulette product with Interblock and look forward to expanding our suite of games with them. We believe this will be a great enhancement to the guest experience and will provide additional support for the horseracing industry in the future. We are working to gain approval with the appropriate state authorities. In summary, the second quarter delivered another strong performance with record financial results, and we believe the best is still to come. Churchill Downs Racetrack in the Kentucky Derby are truly unique trophy assets with powerful growth catalysts for the future. Beyond that, we see important growth drivers across our HRM properties and jurisdictions and our Wagering Services and Solutions segment. And as we are demonstrating with the Salem project, we continue to identify and execute high-quality growth initiatives that strengthen our business and generate strong returns for our investors. Our strategic decision-making, disciplined capital allocation, strong balance sheet and diversified portfolio of high-performing assets have positioned us well to drive sustainable long-term growth. With that, I'll turn the call over to Marcia and then we will take your questions. Marcia?
Marcia Ann Dall: Thanks, Bill, and good morning, everyone. I'll start with a few insights into our financial results and then provide an update on capital management. First, regarding second quarter financial results. As Bill shared, we delivered all-time record second quarter revenue and adjusted EBITDA. Our Live and Historical Racing segment delivered all-time record second quarter revenue and adjusted EBITDA. This segment represented nearly 2/3 of our adjusted EBITDA for the quarter. The $17 million or 6% growth in adjusted EBITDA compared to the prior year quarter was driven primarily by our HRM growth in Kentucky and Virginia. Churchill Downs Racetrack was down $1 million, which is less than 1%, driven by a very high prior year comp as a result of running the 150th Kentucky Derby last year. The Derby delivered tremendous growth in 2024. And as Bill discussed, we expect the Derby to deliver step function growth and adjusted EBITDA again in 2026. All of our HRM properties in Kentucky delivered growth in the second quarter compared to the prior year. We had a specially strong performance from our Northern Kentucky and Louisville HRM venues and we also benefited from the opening of the Owensboro, Kentucky HRM venue in February of this year. The consumer trends in these markets were strong for the quarter. In Virginia, our Northern Virginia, Richmond and Emporia properties collectively delivered over $8 million of growth compared to the prior year. As expected, our Virginia handle tax rate was higher for the quarter compared to the prior year quarter due to the gaming tax structure and the increase in the number of HRMs we have since we opened The Rose in November of last year. Our handle tax rate will transition from 1.39% to 1.3% effective July 1 of this year. Collectively, our remaining Virginia properties were down $3 million reflecting a comparison to a strong second quarter in 2024 as well as marginally from competition near a few of our properties that reduced the level of unrated play. It is important to note that rated play at these Virginia properties reflected strong growth across all our metrics. Overall, we generated the combined 52% margin during the quarter for our same-store Virginia HRM properties. Our Wagering Services and Solutions segment also delivered record second quarter revenue and adjusted EBITDA. Adjusted EBITDA grew by nearly $2 million or 4% compared to the prior year quarter. The Exacta business contributed over $3 million of this increase from both third party customers and growth from our Virginia and Kentucky HRM properties. Our TwinSpires Horse Racing revenue benefited from a record level of wagering on Derby Week. Adjusted EBITDA for TwinSpires was down slightly due to higher legal expenses compared to the prior year quarter. And lastly, regarding our Gaming segment, our wholly owned regional gaming properties performed relatively well in the second quarter. Regarding our Terre Haute Casino and Resort in Indiana, it is important to know that we benefited from the initial gaming tax rate in the second quarter of the prior year due to the tiered structure of Indiana's gaming tax rates and the state's fiscal year ending June 30. The gaming tax rate has since normalized at the expected long-term rate. Regarding Louisiana, we've moved approximately 500 HRM machines from Louisiana to our HRM properties in Virginia and Kentucky. This will impact the comparability of our Louisiana results to the prior year. Our adjusted EBITDA for our a -- other wholly owned gaming properties decreased $3.1 million. As a result, the casino margin for these properties was down 1.3 points compared to the same period in 2024. Regional gaming consumer behavior in second quarter improved. Overall, for our same-store regional gaming properties, we saw increased spend per trip from rated players with the high end of our player database, delivering growth while unrated player trends were comparable to the prior quarter. Turning to capital management. We generated $455 million or $6.29 per share of free cash flow in the first half of the year, primarily from the strong cash flow generated from our businesses. We spent $31 million on maintenance capital in the first half of the year. And based on a review of our maintenance capital plans for the year, we've reduced the 2025 maintenance capital projection by $10 million to $80 million to $90 million. We spent $133 million on project capital in the first half of the year and continue to expect to spend between $250 million and $290 million in 2025. Turning to share repurchases. We repurchased over $250 million of our stock in the second quarter under our share repurchase program. This week, we announced that our Board approved a new common stock repurchase program of up to $500 million. This reflects our strong belief in the future growth of our company. At the end of second quarter, our bank covenant net leverage was 4.2x. Based on our capital investments and anticipated share repurchases, we expect our bank covenant net leverage to remain in the low 4x range for the remainder of the year. We then expect our bank covenant net leverage to decline below 4.0x in 2026 as our investments in Virginia and Kentucky continue to deliver meaningful adjusted EBITDA and free cash flow and given our expected level of share repurchases. We also expect improvement in our free cash flow from favorable cash taxes because of the federal tax bill that was signed on July 4. The new tax provisions include making the 21% business tax rate and 100% bonus depreciation rule permanent. The federal tax bill also reinstates a 30% of EBITDA-based interest deduction limitation. The additional interest reductions combined with the 100% bonus depreciation will reduce our cash taxes and increase our free cash flow this year and in future years. We expect that the impact of lower cash tax payments in 2025 will be $50 million to $60 million. Overall, we are pleased with the record results that our team delivered in the second quarter. We are well positioned to continue to grow through the remainder of 2025 and into 2026 and beyond. Fueled by the tangible pipeline of growth initiatives that Bill discussed and supported by our strong balance sheet. With that, I'll turn the call back over to Bill so that he can open the call for questions. Bill?
William C. Carstanjen: Thanks, Marcia. Okay, everyone, we're ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Barry Jonas with Truist.
Barry Jonathan Jonas: I really appreciate all the commentary around the setup for growth at the Derby next year. As we think about the setup for 152 year- over-year, maybe talk about your expectations around pricing at the lower end, specifically at the Starting Gate Pavilion?
William C. Carstanjen: Sure. Thanks for the question, Barry. So last year was the introduction of the Starting Gate Pavilion and it received rave reviews. So consistent with what we often see, the word gets out, people have now had a chance to experience the improvements and there's a chance for word-of-mouth to spread and that will show up we expect and demand and pricing for that section. So in general, we're excited about that and expect that to be consistent with what we see when we do introduce new areas of our facility.
Operator: Our next question comes from the line of David Katz with Jefferies.
David Brian Katz: Bill, I appreciate all the commentary around New Hampshire. I'd love to get just a little bigger discussion around how you see that market evolving in terms of the magnitude of investment, the opportunity for returns? What's the competitive landscape look like? What's the vision there?
William C. Carstanjen: David, thanks for the question. So first, I'd say that when that deal was closed, we'll be able to explain a lot more about our plans. But since we're in this stage where the transaction documents are signed, but we're going through the various approval processes, there's some restriction in my ability to talk completely about our plans. But I promise as we get the deal closed, we'll disclose quite a lot about our plans. But let's talk in general. When you think about our location in Salem, we're on Exit 2 on I-93 which is a major interstate artery coming out of Downtown Boston and running up through the suburbs. And when we think about that market in general, while there are lines on the map delineating the New Hampshire border from Massachusetts, that's all one market. So this is an opportunity for us to tap in not only to the New Hampshire suburbs, but also to the Massachusetts suburbs for Boston. So we think it's a very strong market. The demographics, both in terms of the number of people and the wealth are there. Our location at the Rockingham Park mall is a great location with us with a dedicated ingress and egress off the freeway. So it's easy to reach. It's a powerful mall that services the Massachusetts suburbs. So we couldn't be more excited about the location and the ease of access to the facility. So for this, it will be an HRM facility, but also we have full table games. So we're very competitive with what you have with the win property in the Boston market and with other facilities in the region. So we just think we have the best and brightest spot on the New Hampshire side from which to conduct our business.
Operator: And next question comes from the line of Chad Beynon with Macquarie.
Chad C. Beynon: Bill, I wanted to just circle back on some of the stats and kind of the outlook for the Derby. Focusing more on international attendance, which I think we've talked about now for a couple of years, how is -- what is the plan going forward? And what's the focus to grow that? And maybe a side bar of that, when you spoke about some of these impressions on social media, I'm guessing most of those were domestically. But does it feel like just kind of the international marketing has improved over the past couple of years?
William C. Carstanjen: Yes. Thanks, Chad. So one of the advantages of Thoroughbred racing is it's a global game. And most large industrialized societies that you go to around the world, you see Thoroughbred activity. So that's a huge start -- head start for us as we build the international component of the Kentucky Derby because they're already familiar with the Derby. They know it's America's greatest race and arguably the greatest race in the world. . So this isn't a product or this isn't a brand that we have to introduce to the market, but it is one we have to develop in these different markets and that's a multiyear process. And it started with our roads to the Derby, the European and now the European and Middle Eastern road to the Derby, the Japanese Road to the Derby. These have all been steps to solidify our connection to some of these other markets and to build inroads to not only consumers there particularly a high-end consumers, that's really the basket of consumers we're most focused on internationally, but also to sponsorships and potential sponsors. So this is an initiative internally that's very, very important to us, that's a real focus for us, and I hope we'll show real progress as early as 2026. So with respect to social media, yes, the stats we tend to cite are U.S. stats, but we are also building and developing social media inroads internationally as well. And as we have stats on those going forward, we'll certainly share those with you.
Operator: Our next question comes from the line of Dan Politzer with JPMorgan.
Daniel Brian Politzer: I wanted to touch on the federal tax bill. Marcia, it was helpful you laid out some of the impacts in 2025. I think you said $50 million to $60 million in cash tax savings. This is a bit of a 2-parter. One, is there -- can we just kind of extrapolate that and kind of for 2026 or the best way to think about it? And then along those lines, in terms of your cash flow and capital allocation, obviously, you announced the $500 million repurchase, you were active in the second quarter. How are you thinking about returning capital to shareholders from here just given that, that Derby CapEx is still paused?
Marcia Ann Dall: Great. Dan, thank you for the question. When we think about the taxable impact for 2026, we will benefit from the fact that we get a 100% bonus depreciation again in 2026. And we will also benefit from the fact that we believe nearly all -- 100% of our interest will be deductible as well for tax purposes in 2026. So our current estimates and obviously, it could change is it will be comparable to the number that I shared regarding the 2025 impact of $50 million to $60 million. Regarding share repurchases, as Bill talked and as we've talked in the past, we've a great strategy around capital management overall, our real focus is investing in the Derby over the long term. We're investing very strategically to create great HRM venues, especially in Kentucky and in Virginia and now in New Hampshire, and we're very excited about that opportunity. We are very thoughtful about strategically buying and selling assets over our journey together over the last 10 years. And we have a very significant focus on making sure we grow our dividend 7% per year. That's been a pretty consistent track record for us. And then after all of that, we think about share repurchases, in particular around investing and returning capital to our shareholders when our stock isn't reflective in the market of what we believe the true long-term value is, and generally, definitely where it's accretive to EPS and free cash flow. So we're very focused on making all of the right choices to support the long-term growth and returns to our shareholders.
Operator: Our next question comes from the line of Daniel Guglielmo with Capital One Securities.
Daniel Edward Guglielmo: On the HRM side of things, Kentucky had a really strong quarter and Virginia is ramping, can you just give us a sense of how long that runway is for those 2 states to continue to grow demand. When thinking about those markets, is a maturity phase even on the horizon?
William C. Carstanjen: Dan, thanks for the question. I think there's still a substantial runway. That's for us to prove in the future. But our metrics look really good, and there's a lot cause for optimisms. So we'll keep executing. Our teams are really strong in both those jurisdictions. And we have our game plan, we have our processes and we'll keep firing ahead. But so far, when we look at our metrics, we see lots of cause for optimism and evidence that we need to keep doing more of what we're doing.
Operator: Our next question comes from the line of Jordan Bender with Citizens.
Jordan Maxwell Bender: I want to go in a direction here that maybe isn't talked about as much with your company, and that's the prediction markets in horse racing. Bill, there's laws out there like the Interstate Horseracing Act to protect the industry. So curious with the direction that prediction markets are headed, kind of what's your view around [Audio Gap] on that offering, particularly around how it might impact the Derby.
William C. Carstanjen: Sure, Jordan. Happy to talk about that. That's a subject that I personally pay a lot of attention to. It's a fascinating subject, and among the executive committee of the American Gaming Association, and that's an audience where we talk about those sorts of things. With respect to the Kentucky Derby and horse racing, we haven't seen it. And I think the nature of pari-mutuel wagering on horse racing doesn't make it as an attractive target for prediction market activity. So we haven't really seen it and it isn't something that we're really concerned about. And certainly, there is also the important element of the Interstate Horseracing Act, which essentially gives us an intellectual property right in the wagering rights around our product. So in essence, you need the approval of the content producer if you want to take wagering or conduct wagering activity on our races or other pari-mutuel horse races. So I think that's an impediment to that activity happening on that platform. But the platform in and of itself, it's a subject of a lot of discussion in the country. And certainly, we watch it but it's not a risk or a particular concern for what we do with the Kentucky Derby and pari-mutuel wagering on horse racing.
Operator: Our next question comes from the line of Ben Chaiken with Mizuho.
Benjamin Nicolas Chaiken: Just going back to the New Hampshire, understanding the deal is not closed, maybe more holistically in the region. Does this represent a pipeline of M&A we could see more of in the region or just more of a one-off for 1 reason or another?
William C. Carstanjen: Thanks, Ben. Appreciate the question. We're focused on what we think is the best opportunity for our company in the region, which is Salem. So we're going to go out and execute that and establish for our company and for our investors that that's a smart investment and a profitable one for our company. I do think it's an area, a state where there'll be lots of changes and lots of development over the next couple of years, and we'll certainly keep our eye on that. And certainly are working hard to build our expertise in that region of the country and in that state so that we understand and can evaluate effectively the market in general.
Operator: Our next question comes from the line of Joe Stauff with Susquehanna.
Joseph Robert Stauff: I thought the Oaks schedule change was interesting. I know a lot of people coming in certainly for the race get there pretty late on Friday. And I'm wondering, strategically, the goal of doing that, is it to drive attendance? Can you generate incremental, say, ticket sales and attendance? Or is it more about what you talked about the promotional value of the lead-in into Saturday?
William C. Carstanjen: Thanks for the question, Joe. It's designed to move everything in a positive direction. But within that positive direction, points of emphasis, the opportunity to be on national television is a chance to build the national profile of the Oaks, which is a pretty special race. But certainly, it's the case that a lot of folks come to the Derby and it's all about the Derby. And they don't have much -- as much of an understanding of the historical relevance and the specialness of the Kentucky Oaks. So a chance to build that brand with a national broadcasting platform is really, really important for driving wagering, for driving sponsorship opportunities for driving sponsorship awareness. So among all our growth catalysts, we think they'll move in the right direction. We expect them to move in the right direction. But as a particular point of emphasis we want to drive handle, we want to drive national awareness, we want to drive sponsorship opportunities. And we think it's a great springboard to remind people that the Kentucky Derby is the next day. So come see the Oaks, Friday night on NBC and it feeds right into the next day when we have the Kentucky Derby.
Operator: Our next question comes from the line of Brandt Montour from Barclays.
Brandt Antoine Montour: I was hoping you could talk a little bit more about the plan for the area between the First Turn and The Skye Terrace. And I don't know how much you're going to be able to say. But I guess the question would be, is this sort of going to -- is this replacing the 3-year plan in a way? And how is the scope sort of different than what you had been thinking for this area in the old plan? And then lastly, do you think -- do we think it will be ready for '27? And would it potentially disrupt '26 in any way? I know that's a lot.
William C. Carstanjen: That was a multipart question, Brandt. So let me make sure I...
Brandt Antoine Montour: Pick what you want.
William C. Carstanjen: Okay. So first, we have a lot of opportunity at our facility for capital improvement to grow our events. And so this space is a clear and obvious one. This is 1 where there isn't currently a major structure that we would have to take down. There are seats there, but there isn't a major structure. We are very, very focused as a team in refining our cost estimates, refining our timing, refining our plans because when we explain what we're going to do to the market, we really want it to be locked down and certain and stress tested so that we assure, we will deliver. So I expect that we will do that at the next earnings call. We are in the process of doing it now. But as an area of the track, it's not an area where there's a significant structure there now. This is what we call affectionately in the company, the gap and the smile. So I don't expect it. It will not be disrupted for the 2026 Derby. We'll explain 2027, 2028, 2029, et cetera, in good time. But I promise, and it is my expectation that this will be an exciting project for everybody to digest and understand. And there will be a lot to be enthusiastic about when they see it.
Operator: And our next question comes from the line of Shaun Kelley with Bank of America.
Shaun Clisby Kelley: Bill, you made some interesting points around as you expand or think about expanding Derby Week or the reach thereof around sponsorships. And I was just wondering if you could kind of go back and remind us a little bit of how do some of these sponsorship relationships work? How long in duration are they? What's your ability to kind of up-level some of that as the reach of the event and maybe the global experience continues to grow, we continue to see a pretty significant demand for sort of these luxury unique experiences. I'm wondering if there's room for your sponsorship opportunity to keep up with that.
William C. Carstanjen: Yes. Thanks, Shaun. That's a fascinating topic for me, and I've been in the company for 20 years now, 11 as the CEO. And I've really seen sponsorships evolve and change over that period of time. At this point in our history with sponsorships. This is now more and more about intentionality. It's about curating our sponsors to make sure that we select and work with partners that are great fits for us as well as us being great fits for them. So as we look internationally and as we look to develop -- not just internationally, but with our current sponsors with other categories of sponsors that we haven't filled, it's not about putting somebody in that seat. It's not about just finding somebody. This is about especially -- being particularly careful and focused about building relationships that are win-wins for both parties. So there's a level of sophistication and focus for our sponsorship approach that's really evolved and become more sophisticated over time, and that's where we are today. So this isn't about just taking phone calls and whoever comes to the front door. This is about building win-win partnerships and it's really encouraging that we're seeing increased international interest from folks. But those are relationships and partnerships to build and explain over time.
Operator: And our next question comes from the line of Jeff Stantial with Stifel.
Jeffrey Austin Stantial: I wanted to ask on The Rose specifically, can you just expand a bit further on more specifically on strategies and process underway to drive trialing and repeat visitation to keep ramping top line. And then similarly on the margin side, do you think that, that property already has the right labor and cost structure to sort of ramp into? Or is there still some work to be done optimizing fixed costs?
William C. Carstanjen: Jeff, thanks for the question. I remain incredibly bullish and excited about The Rose in Northern Virginia. It's a very large market and generating awareness and trial is a multiyear process. So we're well underway. It's about building our brand in that market, driving awareness, driving sampling and then getting our data base built out. So it's progressing really well. Really proud of the team. You'll see our margins improve when we're at a stage -- you'll see them improve constantly. But we're not trying to maximize margins on a per quarter basis at this moment. This is about building trial, building awareness and building data base. And that's the investment that you have to make. This isn't -- this is about making an investment in that market so that we can build the relationships with the customers. As wonderful as it is to be in a market like that with the demographics we see, it's also a complex market. There's a lot going on. There's a lot of entertainment options. So driving awareness, driving participation. We have the right plan. We have the right team and you'll see consistent -- we believe you'll see consistent improvement and gain for an extended period of time going forward.
Operator: I would now like to turn the call back over to CEO, Bill Carstanjen for any closing remarks.
William C. Carstanjen: I just want to thank everyone for their time today and for their interest and investment in our company. We take your trust in us and your investment with us very, very seriously. We work for you. Our job is to drive shareholder value, to drive improvement. We take that very, very seriously. This is an exciting time for us. This is an exciting path that we're on. So we're happy to get after it and looking forward to getting after it, and I look forward to talking to you next quarter. Thanks very much, everyone.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program, and you may now disconnect.